Operator: Good morning, and welcome to the Douglas Dynamics Fourth Quarter 2022 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Sarah Lauber, Executive Vice President and Chief Financial Officer. Please go ahead.
Sarah Lauber: Thank you. Welcome everyone, and thank you for joining us on today's call. Before we begin, I'd like to remind you that some of the comments that will be made during this conference call, including answers to your questions, will constitute forward-looking statements. These forward-looking statements are subject to risks that could cause actual results to be materially different. Those risks include, among others, matters that we have described in yesterday's press release and in our filings with the SEC. With that, I will turn the call over to Bob McCormick.
Bob McCormick: Thanks, Sarah. Good morning, everyone. Overall, 2022 was a good year for Douglas Dynamics, and we delivered significantly improved full year results. 2022 net sales increased approximately 14% when compared to 2021 and net income and diluted earnings per share both increased around 26%, and both segments produced improved year-over-year results. While external headwinds persisted and progress is slower than we'd like, I am pleased with how our teams are managing the factors within our control. Demand remained strong in 2022, and our teams are able to find ways to deliver for our customers, while implementing profit improvement initiatives and controlling costs. The trend for the first three quarters of the year was a very strong performance from attachments in each quarter, while solutions showed small improvements, but we're still being impacted by inflation and supply chain issues. That changed somewhat in the fourth quarter. Although our financial performance improved across the board, it was driven by continued price realization at both segments and higher volumes in Work Truck Solutions. Now let's talk about the segments in more detail. First, Attachments. Our Work Truck Attachments segment had a tremendous year overall, introducing innovative new products and taking advantage of changing industry dynamics. Full year net sales increased 17%, primarily due to pricing actions, as well as the strong preseason. Despite slightly below average snowfall for the season ending in March 2022, we received record preseason orders as dealers were attempting to get ahead of any potential supply chain issues with stronger than normal holders. In an effort to preserve and enhance our industry-leading service levels, our teams pulled every lever possible to meet these increased preseason shipment expectations, resulting in high labor, overtime and outsourcing costs. And while these actions temporarily, negatively impacted adjusted EBITDA margins, we are confident our margins will return to mid- to high-20s in the medium- to long-term in alignment with our long-term financial targets. The headline so far this snow season is that we're seeing significantly below average snowfall in some of our core markets. As always, it is the timing and location of snowfall, not just the amounts that impact our business. So far this winter, seen a lack of snow in our core markets along the East Coast, particularly cities with large populations where more people are in convenience by three or more inches of snow. In fact, New York City usually gets us first winter snow in mid-December, but had to wait until the first of February this season, breaking a 50-year record. It was a similar storm in cities such as Boston, Philadelphia and Bolton. Midwest hasn't fared much better with cities like Chicago and Detroit, also seeing below average snowfall so far. Having said that, in the Twin Cities, it has already been the fourth snowiest winter on record, and they're expected to get another one to two feet yet this week. And some of our secondary markets, such as Buffalo, Denver and Salt Lake City are seeing significant snowfall this winter. Let's go back to Buffalo for a minute. This is the best example of how snowfall can be dramatically different from city to city. As you've probably seen, Buffalo has been inundated with snow so far this season, getting more than 10 feet, while just 75 miles East, Rochester, New York, has seen less than 10 inches of snow, well below their usual totals through mid-February. There are still five weeks of winter left, and a lot can still happen, but at the moment, it seems likely we will end up with below average snowfall in some of our core markets for the season. The snowfall trends are reflected in field inventory we took with dealers as usual in January. Inventory levels are higher than we'd like them to be at above the five-year average. If historical trends hold true, dealers will be ordering somewhat cautiously during the preseason. However, I'm happy to report that dealers remain optimistic and are ready for some late-season snowstorms, but that window is starting to close. And while snowfall hasn't been in our favor so far this year, we have seen a continuation of the demand trends we started to talk about last spring. Once again, there have been snow and ice events causing disruption in the South, helping to confirm the gradual expansion of the snowbelt that we've seen in recent years. And we believe the growing demand for non-truck snow and ice control equipment will continue in the years ahead as well. We are continuing to invest in this piece of our business, evidenced by our recent introduction of a new upgraded pusher plow. When combined with consumer demand for immediate satisfaction for snow and ice to be removed, plus concerns about liability and lawsuits, the long-term trends in the industry remain positive. Turning to solutions, 2022 net sales – increased 8%, primarily based on price increase realization as well as a more stable and predictable Class 7 and 8 chassis supply, somewhat offset by component shortages leading to lower production volumes. Adjusted EBITDA increased significantly due to price realization, favorable sales mix and profit improvement initiatives. This was somewhat offset as we continue to battle the inflationary pressures and supply chain constraints that are causing manufacturing and upfit inefficiencies. Solutions realized impressive gains in the fourth quarter, both sequentially and over the prior year, and our team delivered improvements in sales and adjusted EBITDA. Demand at Dejana and Henderson remain positive, and we are entering 2023 with record backlog for the second year in a row. Those who track and predict chassis supply indicate 2023 will look similar to 2022, and the timetable for a return to normal supply levels remains unpredictable. Overall, we are not expecting significant near-term improvements in chassis supply, but believe our teams can deliver positive results based on a continuation of our profit improvement initiatives, new product introductions, plus the positive consumer sentiment we see today. The fact is work trucks are being used and many are overdue to be replaced. Thanks to our team in solutions, we are best positioned in the industry to meet that demand. As we look to the future, our vertical integration strategy continues to drive opportunities for growth. Our focus in 2023 will be more on extending the product lines we launched last year. For attachments, the pusher plow we launched last year has been very well received, and we will be launching additional models to round out the product line. And for Solutions, the DynaPro dump body line is expanding to include a landscape body. Ramping up and expanding our production capabilities, will keep our vertical integration team very busy this year. Looking at other avenues for growth, we are well positioned to execute on the acquisition front should any of our blue-chip targets become available. Our near-term priority will be in the Attachments segment focused on search for companies with complex products that are upfit on to work trucks for our work purpose. We won't be focusing much of our time on the Solutions acquisition opportunities in the near term until that segment has had time to deliver more consistent results and live up to its considerable potential that we know is there. So in summary, there are a lot of positives to take from 2022. While the headwinds we have been facing did not really dissipate last year, we also didn't see any new headwinds appear either as we had in the previous two years. That memory we were able to learn and adapt to the existing challenges to deliver improved performance. As we look at 2023, our teams continue to see opportunities to grow and improve our operations and we maintain a positive long-term outlook on both segments. I am truly grateful for the dedication and resilience of our teams. Across the board, we have seen our people produce creative solutions to the challenges we faced, improving our operations over the long term and using our continuous improvement mentality across the company. We simply get better every day. One silver lining to the pandemic is that in many ways, it has brought our teams closer together with technology changes allowing easier collaboration across geographies and a shared sense of spreading the Douglas best practices and culture across all teams and locations. While a series of challenges we faced are remaining with us longer than anyone could have predicted and are likely to continue for the time being, we are confident we have the right strategy in place to deliver sustainable growth over the long term. Finally, we continue to strive towards our goal of delivering $3 per share of EPS in 2025, which remain on track based on our organic growth projections. With that, I'll hand the call to Sarah.
Sarah Lauber: Thanks, Bob. As Bob noted, we are pleased to report significantly improved full year results in 2022 in both segments. Net sales, net income and diluted earnings per share increased several digits, compared to 2021. Also, looking at the fourth quarter, our financial performance also improved compared to last year, driven by continued price realization at both segments and higher volumes at Work Truck Solutions. The hard work accomplished in 2021 and early 2022 to address inflation and manage through supply chain issues, helped set the stage for improved performance in 2022. Our teams have diligently pursued new business and continue to strengthen relationships with our customers by going the extra mile, while the industry tackles the ongoing macroeconomic headwinds. Let me walk through our full year and fourth quarter financial results in more detail. Full year net sales were $616 million, which is a 14% increase compared to last year when we generated $541 million. The improvement was driven by pricing actions in both segments and a very strong performance from attachment, particularly in the first three quarters. Gross profit for 2022 was $151.5 million or 25% of net sales compared to $141.9 million or 26% of net sales. Gross margins were negatively impacted by inefficiencies related to constrained chassis and component supplies, higher wages and benefits, partially offset by cost control initiatives. On a GAAP basis, we recorded full year net income of $38.6 million or $1.63 per diluted share, an approximate 26% increase when compared to a net income of $30.7 million or $1.29 per diluted share in 2021. SG&A increased just 4% from $78.8 million in 2021 to $82.2 million in 2022. The small increase primarily relates to higher spending on salary and benefits, travel and advertising costs as business activities continue to return to pre-pandemic levels. As a percentage of net sales, SG&A decreased from 14.6% in 2021 to 13.3% in 2022. From a non-GAAP perspective, we produced full year adjusted EBITDA of $86.8 million for the full year 2022 compared to $79.5 million for 2021. We generated adjusted net income of $43.5 million or $1.84 per diluted share in 2022 compared to $39.4 million or $1.67 in 2021. In 2022, interest expense was $11.3 million, which was lower than the $11.8 million last year as we paid lower interest on the term loan following the June 2021 refinancing. This was partly offset by an increase in interest expense on higher borrowings on the revolving line of credit. The effective tax rate was 18.5% for 2022 compared to 11.3% in the prior year. Both rates were lower than typical, but for different reasons. The 2021 effective tax rate was favorably impacted by the outcome of state tax audits and the 2022 effective tax rate was lower due to higher tax credits and state income tax rate changes. With the review of the full year complete, let's look at the results for the fourth quarter. At a high level, the fourth quarter saw mixed results at Work Truck Attachments driven by a combination of pricing actions, offset by lower volumes due to the low average snowfall and order pull ahead. Work Truck Attachments net sales stayed about the same at a record $97.9 million with pricing actions offsetting lower volumes, which were impacted by below average snowfall in core markets and demand pull ahead in previous quarters. Adjusted EBITDA decreased 16% to $18.6 million compared to $22 million in the prior year period due to lower volumes and increased labor and benefit costs. The Work Truck Solutions segment delivered much improved results compared to the same period last year with revenue of $61.9 million and adjusted EBITDA of $4.3 million. In Q4 last year, the segment's revenue and adjusted EBITDA were $55.2 million and negative $2.3 million, respectively. Net sales increased compared to the prior year due to price increase realization, ongoing positive demand and higher truck deliveries, which was partially offset by continued supply chain disruption and related inefficiencies. The increase in adjusted EBITDA and adjusted EBITDA margin was a result of pricing actions, favorable sales mix and improved truck deliveries compared to last year. Okay. Let's turn to capital allocation and liquidity. We had a successful year for capital allocation with $27 million prioritized to our dividend, $6 million deployed to buy back shares, $11.3 million paid down on our debt and $12 million invested into capital expenditures, largely supporting our ongoing growth projects. At the end of the year, we paid our dividend of $0.29 per share or $1.16 for the full year 2022. Our Board also approved another dividend increase to $0.295 for the first quarter of 2023. This does represent our 15th consecutive dividend increase in 13 years. Net cash provided by operating activities decreased to $40 million for the year, primarily due to increased inventory, which was largely due to the following two reasons: First, the inflationary impact on our material costs account for approximately one-third of the inventory increase. Second, we have continued to temporarily invest and pull ahead purchases in order to meet customer demand and be prepared as the supply chain continues to improve. We believe inventory will stabilize in 2023 and improve in years ahead as our record backlog is worked down and the supply chains improve moving back towards pre-pandemic levels when adjusted for inflation We are very pleased with our record fourth quarter free cash flow of $111.4 million, primarily driven by a record quarter for AR collections. Free cash flow for the full year of 2022 was $28 million, which is lower based on the investments in inventory that I just mentioned. Net debt of $187 million at year-end compared to $181.9 million at the end of 2021, and we remain comfortable with our net debt leverage ratio of 2.7 at the end of 2022, which is within our targeted range. At the end of 2022, our liquidity comprised of $20.7 million in cash and borrowing availability of approximately $100 million under the revolver. In early January, we exercised an option to expand the revolver commitment by $50 million to allow additional capacity and flexibility and inflation in recent years meant we were using more of the revolver than we had in the past. Capital expenditures for 2022 totaled $12 million, less than $1 million higher than 2021 and right in line with our expectations. Now turning to our financial outlook for the year. We expect net sales to be between $620 million and $680 million with adjusted EBITDA in the range of $85 million to $115 million. This translates into adjusted earnings per share in the range of $1.55 to $2.45 per share. We expect our effective tax rate to return to normal this year at approximately 24% to 25%. As always, our outlook assumes relatively stable economic conditions, slightly improving supply of chassis and components and that our core markets will experience average snowfall levels. We ended 2022 with a record $368.7 million in backlog compared to $315.4 million a year ago, which we will work through in the coming years. More than 95% of our backlog is in the Solutions segment with a typical small amount of attachments based on the timing of year-end deliveries. The ongoing strength of this backlog gives us a long runway of orders to work through in 2023 and gives us confidence in our expectations and solutions for the year. As far as our 2023 priorities for deploying capital are concerned, we will continue to prioritize the dividend as has been our historical practice. We will continue to support our businesses with their working capital needs. We expect Q1 to have higher inventory levels that will slowly be worked down as we lower our backlog levels and supply chain constraints ease in the coming quarters. We will continue to invest in our growth initiatives through our disciplined capital expenditure process. Lastly, we will continue to pursue strategic acquisitions in a thoughtful and disciplined manner and buy back shares when our free cash flow allows. As we look at 2023, our teams continue to see opportunities to grow and improve our operations and we maintain a positive long-term outlook on both segments overall. It’s worth remembering that demand for our Work Truck Attachments products is more influenced by snowfall than general economic activity. While our Work Truck Solutions segment is influenced by economic activity, we believe the potential for a mild to moderate recession will be more than offset by the record backlog I just mentioned and the growing need to replace aging trucks and equipment. We are assuming that chassis supply in 2023 will be similar or slightly better than last year, but we don’t expect a dramatic ramp up anytime soon. We believe the hard work we have put in to improve our internal operations means we are in a stronger position than we’ve ever been. We expect 2023 to be better year than previous years, and we will continue to invest to drive growth and implement the changes necessary to ensure we are optimally positioned for long-term success. With that said, we’d like to open the call for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Mike Shlisky with D.A. Davidson. Please go ahead.
Mike Shlisky: Hello. Good morning and thank you for taking my question. Maybe to start up with the backlog that’s…
Sarah Lauber: Hi, Mike.
Mike Shlisky: Hi, there. Maybe I’ll start up with a question about the backlog that you just alluded to Sarah, which is mostly in the Solutions segment. The number that you put out, I guess, how far out is it you’ve booked and is, I guess it sounds like all of it is not scheduled for 2023 delivery. But can you give us a sense as to how long it might take you to get through just the backlog you have today?
Sarah Lauber: Yes. I’ll answer in general and then Bob can add in if you want that any more color to that. I mean it’s a little bit difficult for us to put it into months because it is very dependent on when chassis starts to free up. But I would say when we look at it, we expect it to be 18 to 24 months and it is different in both businesses. In that, for the Henderson side of the business Class 7 and 8, I’d say those we have a better visibility on the slots and the production of those chassis. And we do have some of that backlog that goes into 2024. On the Dejana side, the Class 3 through 6 that is more kind of playing out as we go through month to month. So a little bit more I guess, feeding into the backlog as we receive more chassis from the OEMs.
Bob McCormick: Yes. I guess, I would just add. Sarah’s hit most of the points, two additional points to make. On the Henderson side, when you win a DOT contract, it’s typically multi-year. So even while chassis production slots are out in the 2024 already, some of that backlog’s going to have a 2025 ship date on it because it’s a three year contract that we won. Going back to Dejana’s business model, the other thing that lengthens that backlog out a little bit in terms of filling it is chassis model year changes. And we ran into that this last summer when they stopped making it an old model year and start on the new model year and you’re still sitting on backlog from the old model year because they couldn’t get the chassis out. You go through a reprioritization, a re-pricing effort and we expect that to continue well into 2024 as the OEM chassis get caught up. But again, you think about a number of that size right, I mean, it’s awesome, cancellations are few and we have enough backlog for the Solutions group to drive towards our long-term financial targets. It’s really a pretty good place to be.
Mike Shlisky: Thanks for that. Can you also comment on the current demand environment in the Solutions segment? Are you still seeing plenty of demand for – that’s going to be added to your backlog for all your various vocational models? Or do any certain ones have better trends than others? Thank you.
Bob McCormick: No. Again, you would expect that at some point you would see demand softening just because the line’s getting pretty long. But that’s not the case. And I would point out specifically our Henderson team has been winning some nice orders in the last six months of 2022 heading into 2023. So again, I think as I mentioned, work trucks age and they have to be replaced and right now the average age of work trucks out in the market is probably as old as they’ve been in decades. So demand is still fairly resilient.
Mike Shlisky: Okay. If I could just squeeze one more in here. You don’t always give us or typically ever give us individual segment pinpoint guidance here. But just very broadly speaking on the attachment side, would it be fair to say that other than pricing there may not be much upside in – or growth in 2023, whereas in solutions, it sounds like you’ve got the volumes, you’ve got the pricing, there’s a good chance you’ll be up in that segment in 2023, obviously chassis supply dependent. But beyond that though, things look, perhaps we have reversed or switched in 2023 versus we saw in 2022 and 2021.
Sarah Lauber: Yes. I guess, I’ll answer that, Mike. At the midpoint our sales are showing 6% growth year-over-year. As we enter the year and we’re making decisions as we go through the year on pricing this would assume our traditional kind of single-digit type price increase, which could go up or down depending on the changing dynamics. And then you’re right, when you look at the remaining volume growth attachments will be lower single-digits and more of the growth should come through solutions.
Bob McCormick: Yes. I think I would just add. What we’re excited about from a near-term and a long-term perspective, more specifically talking to the Solutions group, right? As you lived a couple years of backlog, but don’t get all the chassis you need, you’re left to focus on things you can control. Okay. So Sarah set out some long-term financial targets for that Solutions group, Mike, and what you saw in the fourth quarter, what you continue to see in 2023, it won’t be linear, but what you’re going to see is positive profit improvement driven by things like new product launches or growth avenues that are not chassis dependent or profit improvement initiatives and product redesigns and cost reductions. And all those things that help set a baseline level of profit for these Solutions businesses. And then when the chassis free up and we start moving velocity through that fixed cost model that’s going to take us all the way to those targets that Sarah’s set out for us from a long-term perspective. So we are feeling very well positioned, not expecting a bunch of chassis-driven profit improvement in 2023, but improvement on the fundamentals and the baseline things that we can control.
Mike Shlisky: That makes a lot of sense. I appreciate it. I’ll pass it along. Thank you.
Sarah Lauber: Thanks, Mike.
Operator: The next question comes from Tim Wojs with Baird. Please go ahead.
Tim Wojs: Hey everybody. Good morning.
Sarah Lauber: Good morning, Tim.
Tim Wojs: Maybe just a little different question on the backlog. Just how does the – is there a way to gauge with the profitability of the backlog kind of compares to maybe what you’re reporting now and maybe some of the longer-term outlook kind of targets that you’ve given for the Solutions segment?
Sarah Lauber: Yes. I think probably what you’re referring to is specifically what we talked about a lot last year where our Henderson contracts are longer-term contracts and we were locked into some lower margin business because we had the inability to raise the prices. That we have been working diligently through the end of 2021 and all through 2022. I expect that we will be through that – through those contracts by the middle of this year. And start to really get into the re-priced contracts more so in the second quarter of this year. So that is a piece of the EBITDA improvement that we expect for the Solutions piece, which is really price covering more of the inflation.
Tim Wojs: Okay. Okay good. And then what is kind of the expectation for price cost for the year on an EBITDA basis?
Sarah Lauber: Just in total or…
Tim Wojs: Yes. I mean, if you get – if you want to split it out, I’ll take that too.
Bob McCormick: Of course, you’ll.
Sarah Lauber: I guess, what I would say is, I mean, it is different for all three businesses, so as we enter the year we’re looking at our traditional price increases, but we will be adjusting them up or down as we’re making decisions. Attachments’ has been covering their inflation but they have lost margin on the significant price increases that they’ve been to the market with. So we will be working diligently to regain that margin. On the Henderson side, I just walked through, those are going to improve more so in the back half of the year. And then on the Dejana side, that's the business that's different and that we are requoting when we have a chassis. So that is up to favorable price cost at the time of the build, and so I expect that to continue, nothing significant.
Tim Wojs: Okay. Okay. Good. And then I guess we're a couple – well, not quite two months through the quarter, but how would you kind of think Q1 shaping up relative to kind of a normal Q1? I know the East Coast hasn't really seen a lot of snowfall. So maybe just how would you kind of think or kind of point us to modeling the first quarter?
Sarah Lauber: I guess what I'd say, and you know this, Tim, Q1 is our seasonal lowest; Bob walked through some of the facts on snow that are worse than what we've seen in previous years. So it's very highly dependent. And so from that standpoint, I'm not – not sure that I have any guidelines for your modeling, but I will tell you snowfall is impacting us. I think the other piece that I would talk to would be that from a free cash flow perspective, we are not expecting significant improvement in the first quarter as the inventory that we had at the end of the year, it's unlikely we're going to work back down in the first quarter based on what we're seeing from a snow perspective.
Tim Wojs: Okay. Okay. That makes sense. And then how would you think of free cash flow for the year in 2023? And then just what should interest expense be for the year?
Sarah Lauber: What is the last part, what expense?
Tim Wojs: Interest expense.
Sarah Lauber: Okay. Yes, free cash flow, I expect that as we work through the inventory, that probably the wildcard is going to be the working capital. And the working capital is a little bit based on some of the stuff we can't control, the chassis coming in and snowfall. So putting that aside cash interest, I would say is slightly up and then cash taxes are double because we had significantly lower effective tax rate this year than what we're expecting. And then from a capital expenditure standpoint, we always start to gear with our plan of 3% of sales, and then we navigate that throughout the year.
Tim Wojs: Okay. Okay. Well good luck on the year guys. Thanks for all the color.
Bob McCormick: Thanks Tim.
Operator: The next question comes from Greg Burns with Sidoti & Co. Please go ahead.
Greg Burns: Good morning. So when we look at the attachments business given the current snow season, if it does end up kind of playing out, we don't get any late season snow, how does that typically affect the coming year in terms of, I guess, quarterly cadence of demand trends like – how much of the current year's snowfall impacts the coming year and the areas where you might be able to offset it with geographic expansion in some of these newer non-truck solutions that you're coming out with. How well can you may be offset some of that weather-related demand?
Bob McCormick: Got it. Okay. I'll take the first part of it, Sarah can talk to the second part. So the way the industry business model works, so at the end of the first quarter when in theory, most of the snow season is over with, dealers will look at their inventories that they have on hand, and I've already indicated that at the end of January, they're higher than historical, and that's because of the lack of snow. So that makes perfect sense. But they will look at their inventory levels, they'll talk to some of their key end user customers that get a feel for what the replacement cycle might look like this fall, and they'll place that preseason order that we talk about. Now this is a stocking order that they place in the second quarter that we shipped in Q2 and Q3 so that they have inventory on hand for the retail selling season next fall. So with the first place we're going to see the impact of less than desirable weather is going to be in that preseason order book. And so when we hit our July earnings is when we typically adjust guidance because we now know what that preseason order book looks like. And then by the time we get to the fourth quarter, it all ought to balance out and now it's next snow season that starts to drive demand and production and unit volume. So softness that we think is going to be here at the end of the day, some of will receive in the first quarter already. And we'll see the balance of that impact in the preseason order book.
Sarah Lauber: Yes. I'll add a little bit to that. So our guidance assumes average snowfall. But I would say the range is very wide because we're trying to encompass varying levels of snowfall. I would say, based on what we've seen so far through February, the core snow and ice team is already into their low snowfall playbook. So when it comes to managing the expenses with where we're seeing the revenue, they have levers that they pull, which includes lowering their discretionary spending, waiting on hiring, exiting some of the labor costs that Bob referred to in his script, they're pulling all those levers as we navigate what we're seeing in lower snowfall. I think, from a historical perspective, this is an average. It can go, call it, 5% either way as revenues go down due to lower snow, I would say the decrement that we see is around 35% in earnings.
Bob McCormick: No, that, that – can we make up some of that with geographic expansion and non-truck products? Yes, some of that. It's still – if you look at the non-truck product, Sarah, as a percentage of total sales, five or below. So it helps to mitigate some of that impact but there's so much volume and so much earnings in that core snow and ice control business that there isn't any way that's going to make up the weather-driven shortfall, that's likely coming our way.
Greg Burns: Okay. Thanks. And just so I'm clear on kind of how you're looking at guidance. When you say the guidance assumes average snowfall, does that mean for the coming year or the past year because it seems like we're going to be below average this year. So would that – is that factored into your – your guidance or how...
Sarah Lauber: It encompasses the full fiscal year 2023. So the first quarter is snowfall, preseason and the results of that snowfall. And then the fourth quarter, we don't know what the snow will be in the fourth quarter.
Bob McCormick: Yes, it's a great question because we had this discussion internally the last couple of weeks. If we expect the snow season to end below average, should we be factoring that into our guidance already? Well, that's typically not how we do it, which is why the guidance range is still pretty wide. Okay. Now I've also been in this business model long enough to know that a five-week period, anything can happen. So two or three nor'easter's hit us in the month of March, and everything changes. So our guidance at this point does – is not inclusive of any significant negative implications of snowfall, will wait until the preseason orders come in, see how the snow season ends and give you more of that color and cadence in April and July.
Greg Burns: Okay. Thank you.
Operator: [Operator Instructions] Okay. As we have no questions, this ends the question-and-answer session, and I would like to turn the conference back over to Bob McCormick, President and CEO, for any closing remarks.
Bob McCormick: Thanks, and thank you for your time today. I would like to leave you with a couple of thoughts. First, the long-term demand trends in both of our segments remains positive. Attachments maintained its market-leading position and seize new areas of opportunity for growth. Solutions is turning the corner, and we expect the hard work done in recent years will drive improved margins in 2023 and beyond. Second, we are well positioned for long-term success. We are committed to driving towards our long-term financial goals of $3 of EPS by 2025. So again, thank you for your support of Douglas Dynamics. We look forward to meeting with some of you at the NTEA Work Truck Show in Indianapolis in early March and at the Sidoti Virtual Conference later in the month. Thank you, and have a terrific day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may all disconnect.